Operator: Good morning and welcome to the UMB Financial Fourth Quarter and Year End 2015 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Kay Gregory. Please go ahead.
Kay Gregory: Good morning, everyone and thank you for joining us for our conference call and webcast regarding our fourth quarter and year end 2015 financial results. Before we begin, let me remind you that today’s presentation contains forward-looking statements, all of which are subject to assumptions, risks and uncertainties. Actual results and other future events, circumstances, or aspirations may differ materially from those set forth in any forward-looking statement. Information about factors that may cause them to differ is contained in our 10-K for 2014 and subsequent 10-Qs and other SEC filings. Forward-looking statements made in today’s presentation speak only as of today, and we undertake no obligation to update them. Our earnings press release issued yesterday afternoon is available on our website at umbfinancial.com. Also, on our website, we’ve provided supporting slides that contain additional details on some of the drivers and metrics we will discuss today. To make the best use of this call we’ve updated our slide deck to contain more of the metrics we generally discuss during the call. While we may not address all of the items in the prepared remarks, we will be happy to answer any questions you may have during the Q&A session. A link to the slides can be found in the Investors section of umbfinancial.com under News & Events and Presentations. You will note that this quarter we’ve introduced non-GAAP financial measures, such as net operating income to facilitate the evaluation of our fundamental operating performance. Reconciliations of non-GAAP financial measures have been included in the earnings release and on Page 8 and 9 of the supporting slides. On the call today are Mariner Kemper, Chief Executive Officer; and Mike Hagedorn, CEO of UMB Bank and Interim Chief Financial Officer. I’ll now turn the call over to Mariner Kemper.
Mariner Kemper: Thank you, Kay. Welcome everyone and thank you for joining us. This morning I’ll share our high level results for the fourth quarter and year, and update you on the progress of our efficiency initiatives. Beginning with Slides 4 and 5, you’ll see that for the fourth quarter 2015, net income was $29.6 million or $0.60 per diluted share. On a non-GAAP basis adjusting for the items shown on Slide 8, net operating income was $34.2 million or $0.70 per diluted share. For the full year 2015, net income was $116.1 million or $2.44 per diluted share. And on a non-GAAP basis, net operating income was $123.4 million or $2.59 per diluted share. Looking at the balance sheet summary on Slide 6, you will see that we continue to deliver solid loan growth. As you know, loan growth and high quality credits are a hallmark for UMB. And I’m very pleased with our results, which continue to outpace industry averages. At December 31, 2015 loans stood at $9.4 billion, an increase of $2 billion or 26.3% compared to year end 2014. Mike will provide a more detailed look at our results and the drivers behind our loan growth later in the call. Our performance during the first half of 2015 put into focus the need for us to deliver higher returns, particularly at the bank segment levels. And we have turned our efforts to operational efficiencies to improve our performance. In July and October, we announced details of our organizational realignment and efficiency initiatives. Our corporate-wide efforts are expected to result in the removal of $32.9 million in expenses, fully annualized beginning in 2017. On Slides 11 and 12 is a reminder of some of the actions we took and an update on the progress we’ve made. As you can see, we’ve recognized $9.5 million of cost savings in 2015 compared to an expected $6.8 million, as some items were accomplished sooner than anticipated. In addition, as I said last quarter, I expect our leaders across the company to continue to identify efficiencies in a normal course of business. This wasn’t merely a one-time project for us. It’s an ongoing focus on our growth in the most efficient way possible. I’m pleased with our progress we’re making and want to reiterate our commitment to taking the necessary actions to continually improve our company’s performance. Our 70% efficiency ratio goal is a milestone we can accomplish, but it’s not the end game. We’re also focused on improving returns, including return on equity. As you know many moving parts go into this equation, while the efficiency initiative focused first on the parts over which we have the most control expenses. We are of course also focusing on the other areas of the company, such as balance sheet optimization, exemplified through increasing the loan to deposit ratio and the strategic acquisition of Marquette. These two items combined boost 2015 net interest income by $62 million year-over-year. Diversity of revenue streams has long been part of our unique model and core part of our strategy. Over the past several years, strong growth in our fee-based businesses, primarily Scout Investments, has made up for the low interest margins, but that has also enabled some inefficiencies to persist, especially in the bank segment. Going forward we expect all of our business units to operate at near peer levels, which should further enhance the overall return to shareholders. To achieve better results in the bank specifically, we need to do three things. First, build on last year’s initiative’s and continue to identify and implement operational efficiencies within the bank segment. Second, complete the integration of Marquette and continue to look for additional acquisition opportunities that are a good strategic financial and cultural fit. And lastly, continue to remix our earnings assets, leveraging the expertise of our lending teams to grow our loan book, while maintaining our credit metrics in capital levels. While we have faced headwinds, some which will persist in 2016, we have a lot to be excited about. As has been the case throughout our 103-year history, we a have compelling story. We have industry leading deposit and loan growth and our renewed focus on improving metrics within the bank will help us push more of that revenue to the bottom line. With that I’ll turn the call over to Mike, who will discuss our results in more detail and provide a little more color on our segments and drivers. Mike?
Mike Hagedorn: Thanks, Mariner, and good morning everyone. First, I’d like to provide an update on the progress we are making toward the full integration of Marquette. In the December 24 acquisition announcement, we discussed estimated transaction costs of $23 million. On Slide 14, you’ll see recognized acquisition costs of $11.8 million through December 31, 2015 shown by quarter in the four categories we disclosed at the time of the announcement; HR, technology integration, professional fees and other integration fees. In addition, we’re still on track to recognize the estimated $14 million in cost savings related to the acquisition phased in over the two-year period following the May 31, 2015 closing. We expect to complete the conversion in the first quarter 2016. On Slide 15, you’ll see our history of loan growth. As Mariner mentioned, total loans at December 31, 2015 stood at $9.4 billion, an increase of 26.3% or $2 billion compared to year end 2014. Acquired balances plus production through the legacy Marquette channels comprised $982.1 million of the increase in total loan balances. The remaining increase of $982.9 million was generated through legacy UMB lenders, for a year-over-year increase of 13.2%. On a linked quarter basis, total loans increased $384.6 million or 4.3%. Total securities available for sale in our investment portfolio stood at $6.8 billion at December 31, a decrease of 1.5% from a year ago. The details related to the composition of the portfolio and the past quarter’s activities are shown on Slide 18. The effective duration of the portfolio shortened slightly to 36.9 months, and once again the purchase yield exceeded the rollout yield for the past quarter. As I mentioned last quarter, we continue to have success in adding private placement bonds shown as held-to-maturity securities on the balance sheet. These bonds primarily to refinance existing revenue bonds in the healthcare and education space increased 139.9% compared to year end 2014 and stood at $667.1 million on December 31. Before we leave the balance sheet discussion, I’d like to touch on our asset sensitivity and market risk estimations. The boxes at the bottom of Slide 19 show the percentage of our loans with variable rates which at December 31 stood at 48%, as well as the repricing details of our loan portfolio. The characteristics of our loan growth and our ability to manage the timing and amount of deposit rate increases in a rising rate environment, contribute to our asset sensitivity. The projected impact of hypothetical 12-month gradual changes in interest rates, as well as the projected impact of immediate and sustained changes in rates, is represented in the chart on that page. Turning to the income statement, fourth quarter net interest income before provision, rose 25.9% year-over-year and 4.1% on a linked quarter basis to $114.5 million. Fourth quarter net interest margin of 2.76% is 24 basis points higher than in the fourth quarter 2014. On a linked quarter basis, net interest margin increased three basis points. The year-over-year increase was due to the addition of Marquette’s higher yielding loans, a primary driver of the 31 basis point increase in average loan yields and changes in our earning asset mix. In the fourth quarter, noninterest income decreased $2.6 million to $112.6 million compared to the same period a year ago due largely to an $8.3 million decrease in revenue from Scout Investments. For the full year 2015, noninterest income decreased $32.2 million compared to 2014, driven primarily by $36.1 million in reduced revenue from Scout Investments and a $16.2 million decrease in equity earnings on alternative investments. These reductions were slightly offset by $6.3 million of increased gains on the sale of securities and $2 million of higher bankcard fees year-over-year. Slides 22 to 25 illustrate the components of the fourth quarter and full year changes. Looking at fourth quarter expenses on Slide 26, total noninterest expense increased $15.7 million or 9.4% year-over-year. The largest driver of the increase, salary and benefits expense rose by $13.5 million and included $8.4 million in Marquette salaries and benefits, $600,000 in Marquette-related severance and $3.3 million of non-Marquette related severance. On a non-GAAP basis, operating noninterest expense which excludes the impact of those severances and other acquisition related expenses was $174.9 million, an increase of $9.9 million or 6% compared to the fourth quarter 2014. For the full year 2015 as shown on Slide 27, noninterest expense was $703.7 million, an increase of $38.1 million or 5.7% compared to 2014. Again, the largest driver of the increase was salary and benefit expense which increased $47.9 million year-over-year. Included in this increase was $20.8 million in Marquette salaries and benefits, $2.4 million in Marquette-related severance and $4.6 million of non-Marquette-related severance. On a non-GAAP basis, operating noninterest expense for the year was $692.4 million, an increase of $56.3 million or 8.8% compared to 2014. Please see Slides 8 and 9 for additional detail regarding the non-GAAP reconciliations. Now turning to the segments, I’ll cover just a few highlights. The financials and drivers of performance for each segment are in the slides and press release. The bank segment results begin on Slide 29 in the deck. The $20.8 million increase in year-over-year net interest income for the fourth quarter 2015 was primarily driven by improved average loan yields, which rose to 3.8% from a 3.49% a year ago and improved loan volumes, including the addition of Marquette’s loan book. We saw our strongest quarter of production to-date with lenders across all of UMB’s lines of business adding $697 million loans. Totally payoffs and paydowns for the quarter were $345 million which is slightly higher than the average of $288 million we’ve seen over the prior four quarters. However, payoffs and paydowns have kept a relatively steady pace as a percent of our growing commercial loan portfolio. The detailed payoff/paydown totals and line changes for the quarter are shown on Slide 30. The composition of our loan book and a regional view are shown on Slide 31 and 32. We added $170.9 million in CRE loans and $49.5 million in construction during the quarter. Once again, multifamily and senior housing projects were the top categories. CRE activity in our Texas region continues to grow and was second behind Missouri in closed loans for the fourth quarter. Our agriculture lending group posted 7.1% growth during the fourth quarter and nearly 32% growth compared to year end 2014. Ag loans stood at $528 million at December 31, and are classified as follows. $183 million in loans to finance ag products and $345 million of loans secured by farmland. Finally, I’ll update you on our energy lending exposure, which has changed very little from last quarter. At December 31, our outstanding energy-related loans represented 3.5% of our loan portfolio, largely in the midstream and service sectors. While overall oil and gas exposure remains relatively low and while we applied the same strong underwriting principles to these loans, we may have increased the risk of loss on certain credits, if oil prices do not normalize in the near-term. Before I move on from the bank segment, I’d like to touch on credit quality. On Slide 33 we’ve provided 10-year loss history by category. Of note, credit card losses represented an average of 57.2% of net charge-offs over that time period. You also saw on our press release that nonperforming loans have increased a bit from our typical levels. This is largely attributed to three credits of approximately $10 million each that were removed to the nonperforming category during 2015, a manufacturer, a distribution firm and an E&P company. Two of the three credits are well secured while the third is less so. Based on current market conditions and the facts associated with each borrower, we believe we have appropriately evaluated the assets per impairment and recorded the necessary level of reserves. We will continue to evaluate each borrower’s financial position together with related market conditions, and we will continue to make adjustments to our reserves as needed going forward. We’ve included a chart on Slide 34, depicting loan classification trends, which are disclosed in our 10-Q and 10-K. filings. You can see that while nonperforming loans have ticked up slightly, overall classified loans have been trending down over the past five years. And finally looking at NPLs industry-wide, SNL Financial reported median nonperforming loans to total loans of 1.25% for the third quarter 2015 compared to our 0.65% for the fourth quarter. Now I’ll turn to the institutional investment management segment, our Scout Investments business with details beginning on Slide 37. Assets under management stood at $27.2 billion at December 31, 2015. The revenue declines shown for the segment continue to be driven by net outflows over the past several quarters, primarily in the international funds, and the resulting shift in AUM mix, which is currently 22% equity and 78% fixed income. For the fourth quarter, the Scout complex saw net outflows of $816.5 million and had a negative market impact of $14.4 million. The components of equity and fixed income AUM changes are shown on Slide 39. I will note that flows during the quarter were impacted by some redemptions in advance of capital gains distributions and the decision of some investors not to reinvest those gains. We are focused on leveraging our Scout distribution channels and improving performance, which is the best way to stem future outflows and ultimately return to net inflows. Several of our funds including Global Equity and Mid Cap have experienced strong relative performance on a one- and three-year basis. And as you can see on Slide 41, six of the nine Scout Funds rated by Morningstar have four stars. On that slide and the following slide are some important disclosures related to those ratings. Next I will discuss payment solutions with segment financials beginning on Slide 43. Increased card purchase volumes along with growing numbers of accounts and deposits, drive processing fees, bankcard expense and other service costs which contributed to the $12.1 million increase in annual noninterest expense compared to 2014. Slide 43 shows the component of the $2.3 billion fourth quarter purchase volume that generated $19.9 million in interchange revenue. For the full year, total card purchase volume increased 10.2% to $9.3 billion compared to 2014, driving total interchange revenue of $77.4 million. In UMB healthcare services, the number of HSA accounts grew to 805,000 at year end for a 36.8% year-over-year growth rate. And you will see on Slide 44 that healthcare deposits stood at $1.2 billion on December 31, an increase of nearly 40% year-over-year. Total HSA investment assets reached $118.3 million at year end. The number of accounts is impacted by open enrollment period in the fourth quarter and we typically see balances built further in first quarter as those accounts are funded. We remain very enthusiastic about our healthcare business and its future prospects. The final segment I’ll discuss today is our asset servicing segment, UMB Fund Services, which ended the fourth quarter with $185.6 billion in total assets under administration. The financials for this segment are shown on Slide 48, while revenue in this segment comes from a variety of sources including number of accounts and transaction fees, the largest driver is average AUA which is greatly impacted by the health of the equity markets. Our alternative servicing business has continued to see traction adding 31 net new funds and increasing assets under administration by 20.6% over the past 12 months. Slide 49 of the supporting materials shows some additional metrics for our various products within fund services. With that, I’ll conclude our prepared remarks and turn it back over to the operator who will open up the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Ebrahim Poonawala of Bank of America Merrill Lynch. Please go ahead.
Ebrahim Poonawala: Good morning guys.
Mariner Kemper: Good morning.
Mike Hagedorn: Good morning.
Ebrahim Poonawala: So I guess first question on expenses and you can decide how you want to answer this. But as we look at 74% operating efficiency in the $174 million expense run rate, how should we think about how these cost savings translate either into the bottom line, and if you could give any clarity around how that $174 million is likely to change as 2016 progresses, or how we should expect the efficiency ratio to progress from 74% in 4Q?
Mike Hagedorn: Hi, Ebrahim, this is Mike. I would draw your attention to Slide 11 in the investor presentation. So keep in mind, when you reference the efficiency ratio, which is on Slide 9 at 74% on a non-GAAP basis, we’ve also disclosed on Slide 11 the timing of the efficiency related initiative saves and so 2016 we still have more than half of the number that we experienced in 2015, which wasn’t even a full year, still to go. And we’re going to get the full year impact of the 2015 year saves as well. So we still have quite a bit of traction to go on this.
Mariner Kemper: Well, I was going to say, of course, the efforts are ongoing as well.
Ebrahim Poonawala: Right. I guess what I was trying to get to is how much of this will be offset by continued investment in the franchise?
Mike Hagedorn: I mean all I can say to that is, we have, as we’ve said, disclosed and said very clearly, I think, is that we are committed to bringing down our efficiency ratio. So obviously, we will be managing those investments so that they don’t – that we’re certainly investing in the business, but they don’t negatively impact our improvement.
Ebrahim Poonawala: Okay. That’s fair. Understood. And then, separately on loan growth, we have been focused on CRE over the last few years and just because of some of your mix of the loan book coming into poor cycle. How is the regulatory guidance around CRE lending impacting how you are thinking about CRE growth?
Mariner Kemper: I am going to try to answer. I’m not sure I totally heard everything you said, but maybe I’ll repeat the question to you. You are asking about the CRE environment and the economy and how does that – how do we think about CRE lending related to what’s happening in the world around us? Is that the question?
Ebrahim Poonawala: That last in light of the inter-agency guidelines that came out in December talking about higher scrutiny for CRE loans.
Mariner Kemper: Yes. That is an easy one for me, which is nothing has ever changed with the way we lend. We evolve and mature the way we market into verticals and have added expertise in the particular verticals, including our CRE expertise. But I would say that nothing has changed about the way we underwrite. We don’t wait for the regulators to tell us to be smart, so we’re kind of – we are out there doing the same thing we always do. So we’re concerned – have been concerned, really in general about some of the areas that have heated up, i.e. multifamily, student housing some of that. And so, while we grown that – we’ve grown that part of our book of business, we do it the way we do everything else, depending on global cash flow, sponsor support, things like that. So I would say we’re not worried about the interagency guidance at all because we would have been out in front of it anyway, and we feel very good about the quality of our CRE book.
Ebrahim Poonawala: That’s helpful. Thanks for taking my questions.
Operator: The next question comes from Chris McGratty of KBW. Please go ahead.
Chris McGratty: Good morning everybody.
Mike Hagedorn: Good morning, Chris.
Chris McGratty: Hey Mike, maybe a question on the energy. If you kind of back into the numbers, it is about – correct me if I am wrong, about $330 million of exposure. Again, a small number on a percentage basis. A lot of the attention this quarter has been given to where reserves stand, and I know in your comments you talked about kind of reserve levels being potentially upward biased. What is the reserve on that portfolio?
Mike Hagedorn: So each bank, as I can gather it sort of calculates the way they do that a little differently whether it’s against the whole portfolio or just against criticized credits et cetera. What I can tell you about ours is it is 3.5%, and of our 6% and 7%, which is our higher criticized credits, we have about 5%, approximately 5% or greater reserves against our criticized energy credits.
Chris McGratty: Okay. So if I am thinking – I think a lot of people look at it just on an aggregate basis.
Mike Hagedorn: Right.
Chris McGratty: Do you have the dollar – the total dollars set aside against the $330 million?
Mike Hagedorn: Not committed to memory, but again, we gave you the number of the total. I would say about the book, it’s evenly. So it’s 3.5% of total. We have upstream, downstream, midstream, service kind of split. We don’t have any real concentration in any one of those areas. And buried within that total are a lot of great strong credits, and thus we have everything from small, little service companies all the way up to strong Fortune 500 companies. And really it’s immaterial, we believe it’s immaterial.
Chris McGratty: Yes. And I am sorry if I missed this. The total dollars of the classified or criticized on that $330 million, did you provide that? I may have missed it, Mariner.
Mariner Kemper: No, we did not.
Chris McGratty: Okay, okay.
Mariner Kemper: I just want to remind you that, based on that call – or based on your question, Chris, our nonperforming loans, we are more than double what the industry average is as far as our reserve levels overall for the portfolio. So, we feel very good about our overall reserve levels.
Chris McGratty: No, I get it. I am just trying to make an apples-to-apples comparison to your peers. Maybe a question on the originations. The new slide was helpful – the new production. The $700 million or so that you had in the quarter, how much of that is legacy UMB and how much of that is Marquette, and is there any – was there any of the fourth quarter’s growth that was pulled forward, perhaps, from the first quarter? Thank you.
Mike Hagedorn: So, I’m trying to…
Mariner Kemper: He’s on Slide 30 of the deck. And so we didn’t disclose how much of the – we will round up, $700 million is Marquette new production. Remember, this is only for the fourth quarter. So all of the existing balances that we acquired are already in the totals. This is just new production. It’s kind of evenly split. There’s part of this coming out of Arizona, Texas. We talked about the CRE portions coming out of Missouri. It’s not heavily weighted towards one area.
Mariner Kemper: We have good, solid geographic expansion and vertical expansion, production from Marquette, production from our book, solid across the board. And to Mike’s points, it is all in there, so I mean, Marquette is fully in.
Chris McGratty: Okay. Just the last one. The pipelines today, do we feel like we exhausted any of the pipeline with the really strong fourth quarter, or is the organic growth outlook – is the message on organic growth that it is sustainable?
Mariner Kemper: As we’ve done in the past, we’ve given you the next quarter – visibility into the next quarter which is that the pipeline remains strong.
Chris McGratty: Okay. Thank you for taking my questions.
Operator: And we have a question from John Rodis of FIG Partners. Please go ahead.
John Rodis: Good morning guys.
Mike Hagedorn: Good morning.
Mariner Kemper: Good morning.
John Rodis: Mike, maybe just a couple questions for you. In other – or, I’m sorry, in noninterest income, the other line item was up a little bit linked quarter. Anything unusual in there?
Mike Hagedorn: No, nothing unusual.
John Rodis: Okay. The tax rate was down. What sort of tax rate should we use going forward?
Mike Hagedorn: Yes, that’s a good question. So the rate that we’re going to provide going forward –because we have done this for you in the past – is, we believe 2016 will be around 25.7%. Now that’s a quite a bit lower than the 27% and you can fill in the decimal place – that we’ve been at in 2015. The majority of that driving – or the majority of the reason that is driving that is we have a much higher percentage of tax exempt income, mostly related to the HTN bonds that I mentioned in my prepared remarks. And then also higher BOLI and COLI, which both have tax-exempt income.
John Rodis: Okay. Just two other questions. And I will just – and then I will step back. First would be your thoughts on a share buyback given the pullback in the shares in here. And then, back to the energy portfolio, what percent is – are in SNICs, I guess?
Mariner Kemper: I will take that. Thanks for your question. So, on share repurchase, unfortunately I am not going to be able to give you much more than it is an option, right. We were continually, as we have talked in the past, looking at all of our options for use of our capital. It is certainly one of our options, and we want to provide best shareholder return we can long-term and it is certainly one of our options. So that is probably not what you were looking for, but that’s about all I can give you on that one. On the other, we don’t really disclose the percentages that are coming from which category at this point, maybe we can do that in the future if everyone continues to be that interested in something, we believe, is pretty immaterial. But at this point, there certainly is some exposure in there. On the SNIC side, but what I would tell you is, of our SNIC portfolio in total, I can’t even remember the last time we even had a ranked loan on our SNIC book. So we don’t often have much trouble with our SNIC portfolio in general, because they are big exposures, right? So we are extra careful with our super large exposures.
John Rodis: Okay. Mariner, I get it. Just back to the buyback, no, I appreciate what you are saying. But just to clarify, you do have, what is it $2 million currently authorized?
Mariner Kemper: Yes, we do have that. We have been renewing that for years about at that level, yes.
John Rodis: Okay. So in theory you do have the flexibility to do something, if the stock were to fall or something, you could move fairly quickly?
Mariner Kemper: Absolutely.
John Rodis: Okay. Thanks guys.
Operator: The next question comes from Peyton Green of Piper Jaffray. Please go ahead.
Peyton Green: Yes, good morning. I was just wondering maybe if you comment on the amount of cost saves from Marquette. I know you’ve referenced, it’s about $14 million in total cost saves that were announced when you announced the deal. How much of that has been recognized or was evident in the fourth quarter run rate?
Mike Hagedorn: Yes. So I think I’m going to draw your attention, Peyton, to Slide 14 where we talk about the integration costs and we give you the transaction cost that we’ve experienced so far. When we originally disclosed the acquisition, we talked about total cost savings in the neighborhood of $14 million and the acquisition related costs of about $23 million. And you can see we’re now through about, we’ll say half roughly of the acquisition costs. We did say in our prepared remarks or I did that we would convert in the first quarter of this year. All of those expenses should be pretty much through the income statement by the end of the year, probably a majority will be through by the middle of the year. On a cost savings side, we have not given a percentage of where we’re at. So unfortunately, I won’t be able to answer that directly other than to say, we’re still on track with the original numbers that we put out when we announced the deal.
Peyton Green: Okay, all right. And then looking at the slide on the securities portfolio, there’s a reference to about $1.7 billion in securities that are expected to mature with a yield of about 1.37% over the course of this year. Purchases in 2015 were about $2 billion and carried a yield close to 2%. What do you – what kind of reinvestment would you expect to get yield on that $1.7 billion at 1.37% as it rolls off?
Mariner Kemper: Yes. So I might address that by telling everybody on the phone, in case you are trying follow along, that’s on Slide 18 in our investor presentation. We’ve said that we feel like we’re unique in the bank space, and then particularly in the midsize bank space, because we do have such a large investment portfolio as part of our earning assets. And the large portion of that that we are now able to reinvest at rates higher than the roll off rate. And that’s a nice driver for us to expand revenue in 2016. To answer it directly, Peyton, it’s going to depend upon what we buy and our expectation of future interest rates. At the end of 2015 we’re buying a lot of mortgage-backed securities, and so the yield was fairly high. On the buybacks, it really is going to depend upon what comes due in a given month and what we actually buy. Over the whole year, right now, about the only guidance I think we can give is that we expect our portfolio holdings in total to be roughly the same that they have been in the past.
Peyton Green: Okay. But I mean you wouldn’t expect to replace it with as low a yield as that, would you?
Mike Hagedorn: At this point, not.
Mariner Kemper: No, no.
Peyton Green: Okay, all right.
Mariner Kemper: You tell us what happened to rates and we will tell you what we are going to be able to reinvest in.
Peyton Green: That is, I would say, lower for longer, but I’ve been saying it. So…
Mariner Kemper: Yes. Okay. You have been consistent, Peyton that’s for sure.
Peyton Green: And then, I guess, maybe, Mariner, as you kind of look out at Marquette and the integration in getting Marquette operating as a part of UMB and UMB as a part of Marquette, where do you see the opportunities to drive revenue? I know the loan balances were roughly flat in the fourth quarter versus the third quarter and really since the acquisition. What is the opportunity to drive balances in 2016?
Mariner Kemper: So we remain incredibly excited. I’ll give you a little color, and you are going to get me on my soapbox here. We’re pretty jazzed about that acquisition. The real reason, the main reasons that it hasn’t really moved yet is, we’ve been careful to protect what’s there and careful through the integration process. As you know we won’t have fully integrated and brought the teams together fully until the end of this quarter. So we’re really aiming for this, the last three quarters this year to see the benefit from that acquisition. And we’re more focused on doing no harm from acquisition day through integration. So that’s what we’ve been focused on, is do no harm which we very successfully have done. So as it relates to the opportunity, people talk about energy when they think about Texas, but remember we’re in Dallas and Fort Worth. And they are broadly diversified markets with less energy exposure than most people think. So we’re pretty excited by the big population, lots of – the rooftop numbers are pretty good down there, and so pretty excited about Texas. We’ve got an exceptional team down there between the team we had on the ground, and the team that we have picked up – our new team members, really jazzed about that. Arizona is, really, really exciting as well because we already had a pretty decent presence and some really strong momentum on the ground before we picked up the Meridian acquisition in Arizona. That one is already demonstrating some strength within the totals. We have picked up a team of real estate lenders down there with some expertise. And so we’ve been able to see some momentum down there as Arizona has recovered. And so very, very excited about Arizona and then the two national lending platforms. Again back to the do no harm, we’re really excited. We’re starting to see some of that potential, develop now and pipelines, they are part of my comments about the pipeline. And if you think about the two pieces two pieces, you have the factoring piece, which has been largely transportation related. So the pick up there has been a little slow because of what’s happened with energy prices and such because of the low cost of energy, the borrowers and the activity in there, the companies have been able to use their own cash. So that’s part of the story there. So we expect as that company diversifies and uses our leverage opportunity of our low cost to funds and our capital both diversifying away from transportation and then also being able to look at larger deals, we expect both of those organizations to do very, very well. Really like the integration of culturally, things look really, really good, and I couldn’t be more excited about both the Meridian teams and the Marquette specialty lending teams. So it is probably more than what you wanted to hear, but we’re pretty excited about it.
Peyton Green: Okay. No. I guess last question is – maybe I’ll ask the credit quality question a different way. I mean, almost anything you read from an industrial or manufacturing perspective seems to suggest a recession in that broad sector. And maybe that is strong, but certainly a very strong slowdown. What are you all see seeing in your kind of core customer base, and would you expect that to suggest a slowdown in lending in 2016 or an uptick in credit? I mean how do you view that?
Mariner Kemper: I would say, we get our growth in several different ways I think to your point, I don’t know that we should expect a lot of growth from economic activity. I think the whole industry is projecting something like GDP loan growth. So the industry is projecting something like 2.5% to 3% loan growth. So if we were just dependent on economic activity for loan growth, I would say we would be bringing down our expectations too. But that is not – so we have – as we’ve talked in the past, we have low penetration in some very large markets. So we expect to get a lot of our loan growth from getting our share of market. So capturing market share as well as vertical expansion. That’s where we think we will get more of our loan growth than through economic activity. So we expect, like everyone else does, relatively slow economic growth. And therefore, don’t expect a lot of our loan growth to come from that particular driver.
Peyton Green: Okay. And then just from a credit perspective, have you seen any change in the classified or criticized with regard to industrial mix versus other segments over the past two or three quarters.
Mariner Kemper: No. And I would just – I would take this opportunity to point you back really to 33 and 34 and just speak for a moment about that, I know everybody is – we hear this from the analyst community. People are starting to worry about, particularly, obviously energy and then just in general the slowdown and criticized credit stuff. So I just – a couple of comments about that as it relates to us. If you look at 33, I might just comment that the average tenure of our lending, senior lending team is 23 years. Our chief lending officer is 30 years. I’ve been sitting on our lending process for 12 years and part of it for 22 years. And if you look at our charge-offs, they’ve gone from 2006, from 0.20% to 0.12% at the end of 2015, and we’ve gone from average loans of $3.5 billion to average loans of $8.5 billion in that time frame. We have a very, very low historic percentage of conversion from nonperforming loans to charge-offs. And what I would say is, same people in charge, same lending practices, same style of lending, and we don’t expect anything different over the next 10 years as it relates to the conversion of nonperformings to charge-offs or increases in charge-offs in general. If you look at the commercial loans in general, specifically to your question, commercial loans which is the top line on that page, I mean, effectively with whether it is, the $7 billion commercial loan portfolio, we charge off a loan a year from a percentage standpoint. So we are very, very proud and very, very serious about our credit quality, take it very seriously. It’s top of my list, the thing I am most proud about at UMB. So you shouldn’t expect, we don’t expect and you shouldn’t expect anything different. If you look at the next page, you just see the five-year trend of our classified loans while certainly on a linked quarter basis, they picked up slightly. Just look at the five-year trend and across the five-year you can see peaks and valleys. This is one of those peaks. We expect to bring in about – a valley sometime in the near future and continue to keep classified loans at low as a percentage of total because we are damn good at lending.
Mike Hagedorn: And Peyton, I will add – if you look at Slide 33, those are the lowest absolute dollar charge-offs all in, in eight years and the lowest charge-off on an average to loan basis in 10 years. And that includes the great recession. But I think – I think the numbers kind of speak for themselves to substantiate what Mariner is saying, that you could argue that looking back isn’t the best indicator of looking forward. But having the great recession in the middle of that and looking at those numbers, it tells an incredibly strong story.
Mariner Kemper: With the same leadership team, which is the point I was trying to make. We have been here – we have been through it with the same people making decisions. We haven’t changed the way we do it. So…
Peyton Green: Okay. Well, thank you very much for taking my questions.
Mariner Kemper: Yes.
Operator: [Operator Instructions] The next question comes from Matt Olney of Stephens Inc. Please go ahead.
Matt Olney: Hey, thanks. Good morning guys.
Mariner Kemper: Good morning.
Matt Olney: I want to start on the fee income, and I missed the first part of the call so I apologize if I repeat something. But, in the fee income, within the trading and investment banking line, it was pretty strong this quarter. Anything unusual in the fourth quarter, or is that a number– a run rate off of an entire base?
Mike Hagedorn: Yes. So the majority of that is the fees related to the held-to-maturity securities that we talked about. So we’re now at around $660 million I think, at the end of fourth quarter. We’ll continue to add to that, I won’t give you guidance on when we think we’ve had enough, but we continue to see some traction in that. But that specific line is being bolstered by the activities that we’ve talked about.
Mariner Kemper: It’s a market opportunity that we’ve been able to see is based on sort of refunding opportunities in the schools, universities, hospitals. So it’s been a neat opportunity we’ve been able to see in the marketplace.
Matt Olney: Okay. And then, Mike, you referenced the BOLI discussion earlier. And just to clarify, it sounds like you guys did purchase some BOLI recently and that fourth quarter number for BOLI is a good run rate. Is that correct?
Mike Hagedorn: It is, at least at this point. We still have the capacity to add more BOLI if we want to, but as of right now that’s the run rate.
Matt Olney: Okay. That’s helpful. And then, going back to the legacy expense initiatives, so ex-Marquette, would you expect to get all the initiatives implemented over the next few months? I mean, would that give us a clean 2Q 2016 run rate?
Mariner Kemper: Well, the way – I am going to point you back to the way we’ve described, which is you should be thinking about it as – it shows you it is less than 2015. So we can’t tell you when that will happen in 2016. We’re trying to get everybody focused on full impact annualized in 2017. So that’s – sorry not to be able to give you more than that but that’s what we can do for you. So you will have to just take what’s there in that 2016 column and just know it’s going to happen throughout 2016. And then I want to remind you that this is not the end game. We’re focused on making decisions on making us more lean and more profitable with every decision we make. So that’s – it’s an ongoing exercise. This is not the end game for us managing our expenses.
Matt Olney: Okay. Thanks, Mariner. And then last question from me, as far as the overall allowance ratio. I am curious what your thoughts on that ratio are going forward. And as some of the acquired loans renew over the next few years and those will require a loan-loss provision on those, would you expect the stated allowance ratio to continue to migrate up from here?
Mariner Kemper: Yes. So as a reminder to everybody, when we acquired the Marquette portfolio, the loans come over at fair value and so they have been marked at that time. So our allowance as a percent of total loans was less than 1% and continues to be so in the fourth quarter as a result of that adjustment. As those loans mature and the fair value adjustment, if you will, is accreted through the yield or the interest income, and they renew, yes, you would start to see a need to account for them in our normal model. Now, however, saying that, remember the model is not completely and utterly dependent upon just total loan volumes. It’s dependent upon how those loans are ranked, their likelihood to migrate from unacceptable ranking today to something in the ranked category. So there is a lot of factors that play into that. We feel like our allowance right now is completely appropriate. Even though the numbers do look a little weird because of Marquette, I don’t expect any material changes at least right now.
Matt Olney: Okay. Thanks for the update.
Mariner Kemper: Yes.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Kay Gregory for any closing remarks.
Kay Gregory: Thank you. Before we end our call today I’d like to announce that we plan to host an Investor Day in New York on May 19. Details will be coming out soon and I hope many of you will be able to join us. And as usual, today’s call can be accessed via replay at our website beginning in about two hours and will run through February 10. As always, you can contact UMB Investor Relations with any follow-up questions by calling 816-860-7106. Again, we appreciate your interest and time. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.